Operator: Good day, everyone, and welcome to the First Solar Fourth Quarter and Year-End 2010 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Mr. Larry Polizzotto, Vice President of Investor Relations for First Solar, Inc. Mr. Polizzotto, you may begin.
Larry Polizzotto: Good afternoon, everyone, and thank you for joining us for First Solar's Fourth Quarter 2010 Conference Call. Today after the market closed, the company issued a press release announcing our fourth quarter and full year financial results for 2010 and our guidance update for 2011. If you did not receive a copy of the press release, you can obtain one from the Investors section of First Solar's website at www.firstsolar.com. In addition, First Solar has posted the presentation for this call, as well as key quarterly statistics and historical data on financial and operating performance on our IR website. We will be discussing the presentation during this call and webcast. An audio replay of this call will also be available approximately two hours after the conclusion of the call. The replay will remain available until Tuesday, March 1, 2011, at 7:30 p.m. Eastern time and can be accessed by dialing (888) 203-1112 if you're calling within the United States, or (719) 457-0820 if you're calling from outside the United States and entering the replay pass code 8382775. A replay of the webcast will be available on the Investors section of First Solar's website approximately two hours after the conclusion of the call and remain available for approximately 90 calendar days. If you're a subscriber of FactSet or Thomson One, you could obtain a written transcript from them. With me today are Rob Gillette, Chief Executive Officer; Tk Kallenbach, Executive Vice President of Marketing and Product Management; Jens Meyerhoff, President of the Utility Systems Business Group; and James Zhu, Chief Accounting Officer and Interim Chief Financial Officer. Rob will present an overview of the company's fourth quarter and 2010 results and give you an update on the market and business. James will review the fourth quarter financial results and update guidance for 2011. We will then open up the call for questions. During the Q&A period, as a courtesy to those individuals seeking to ask questions, we ask that participants limit themself to one question. First Solar has allocated approximately one hour for today's call. I'll remind everyone that all financial numbers are reported and discussed on today's call are U.S. Generally Accepted Accounting Principles, except for free cash flow, is a non-GAAP measure, which is reconciled in the operating cash flow in the back of our presentation. Now I'd like to make a brief statement regarding forward-looking remarks you may hear on today's call. During the course of this call, the company will make projections and other comments that are forward-looking statements within the meaning of the Federal Securities laws. The forward-looking statements in this call are based on current information and expectations and are subject to uncertainties and changes in circumstances and do not constitute guarantees of future performance. Those statements involve a number of factors that could cause actual results to differ materially from those statements, including the risks as described in the company's most recent annual report on Form 10-K and other filings with the Securities and Exchange Commission. First Solar assumes no obligation to update any forward-looking information contained in this call or respect to announcements described herein. During the first quarter of 2011, First Solar will be attending the following conferences: Morgan Stanley Technology Conference in San Francisco on March 1; Canaccord Genuity Sustainability Forum in Deer Valley, Utah on March 3 and 4; UBS Alternative Energy Conference in New York City, March 8. It's now my pleasure to introduce Rob Gillette, Chief Executive Officer of First Solar. Rob?
Robert Gillette: Great. Thanks, Larry, and welcome to our Q4 earnings call. Thanks for joining us today. Let me start by saying that 2010 was a good year, and we exceeded the 2010 EPS guidance we set a year ago despite the many market uncertainties we faced. The strong results demonstrate the capability of our low-cost technology and PV systems solutions, the diversification of our markets and the strength of our systems pipeline, as well as some really good execution in the operations. For 2010, our net sales of $2.6 billion were up 24% year-over-year. Fourth quarter net sales is $610 million, increased 24% over the third quarter of 2010 primarily because the prior quarter included completed contract revenue recognition for the 60-megawatt Sarnia project and Q4 was impacted by our decision to divert some volumes to extradite the Module replacement program. Our fourth quarter net income was $156 million or 25.6% of net sales, resulting in diluted EPS of $1.80. Diluted EPS for 2010 was $7.68 which exceeded our guidance. Return on net assets was 19.5% on a four-quarter-rolling basis, representing an EVA of over 7% or 200 basis points above our target. Our cash and marketable securities balance of $1.1 billion increased $117 million sequentially. Our Q4 production was 395 megawatts, up 27% versus prior year and 13% quarter-over-quarter. The sequential increase was driven by a higher line throughput, improved conversion efficiency and six additional days of production due to our adoption of a calendar year for financial reporting. The annual capacity per line increased by 3 megawatts quarter-over-quarter to 62.6-megawatt per line. Across all production lines, this adds 138 megawatts to our current and planned annual capacity. Our conversion efficiency was 11.6% which is up a half a percentage point year-over-year. Both conversion efficiency and capacity per line benefited as we successfully completed the process changes we began implementing in Q2. Our manufacturing cost per watt was $0.75, which is down $0.09 or 11% year-over-year and down $0.02 compared to the third quarter. We also began construction of our new four-line manufacturing plant in Vietnam, with expected volume production in the third quarter of 2012. Moving to Page 7. In terms of market development, we've made progress on several areas. We completed the construction of both the 30-megawatt Cimarron and the 48-megawatt Copper Mountain projects. We sold the 290-megawatt Agua Caliente project to NRG Energy, contingent on receiving a federal loan guarantee. NRG subsequently received the conditional commitment for that guarantee from the DOE and the sale was expected to be finalized when the loan closes in the second quarter. We expect to begin recognizing revenue on the first construction milestone in the second quarter. The PNM and Santa Teresa projects began construction in the first quarter. We also achieved a number of milestones in our project portfolio. The AV solar Ranch 230-megawatt project received its final environmental impact report and conditional use permit from LA County. The Silver State North 50-megawatt project received its right-of-way grant from the Bureau of Land Management to proceed with construction. And we signed a 250-megawatt PPA with Southern California Edison for our Silver State South project. In Europe, as we previously discussed, in December, we implemented plan price changes for 2011 that reflect market economics given expected feed-in tariff adjustments. The new pricing is designed to drive sell-through by supporting project economics and yield an acceptable returns to project investors and partners. We also made progress in developing the Chinese and Indian markets. First Solar signed a Memorandum of Understanding with China Guangdong Nuclear to build Phase 1 of the 30-megawatt Ordos project. Under the MoU, CGN will be the majority owner of the project and perform the EPC. We plan to work together with CGN to establish the project economics with the government in China. In addition, we are discussing other project opportunities with partners across China. We also signed module agreements in India, including with ACME Tele Power which contracted for 15 megawatts and Moser Baer Clean Energy which contracted for 25 megawatts. We see continued strong demand for our products in India. On Page 8, you can see we completed 138 megawatts DC of North American projects in 2010: Sarnia, Copper Mountain and Cimarron. All three were completed early and under budget, built out of velocity 2x to 3x faster than their predecessors. Two of those projects are also record-breakers with Sarnia, now the largest operating TV plant in the world at 80 megawatts and Copper is the largest in the United States at 58 megawatts. Overall, 2010 balance of system cost improved almost 30% compared to 2008, which is well ahead of our 2014 balance of systems cost reduction roadmap. This strong performance demonstrates the improvements our EPC team has made in reducing cycle time and cost per watt through engineering design improvements and economies of scale. Since BoS costs make up a large portion of LCOE, these achievements are important as we advanced to our goal of great parity. Slide 9 shows the progress that we have made in adding new customers for utility scale systems and in selling additional projects to existing customers. Since the Q3 Earnings Call, we had sold 400 megawatts of projects and signed 37 megawatt of EPC agreements. NRG Energy has significantly expanded its relationship with us through its purchase of the Agua Caliente project and by hiring us to do EPC and provide modules for their Santa Teresa project. Enbridge also purchased two additional projects in Ontario. NextEra, GE and Plutonic have become new buyers of First Solar projects and here in Arizona, a new utility customer, APS, selected First Solar to develop and provide EPC and modules for their the Paloma project. On Page 10, you can see how we've grown our systems pipeline over time, including the increase from 2.2 gigawatts in 2010 to 2.4 gigawatt as of today. The orange line shows our increase in project construction from 12 megawatts in 2008 to the planned 400 megawatts in 2011. This slide also illustrates the expansion and diversification of our utility system's customer base including IPPs, utilities and financial investors. The next slide provides the detailed update of projects we intend to begin constructing in 2011, as well as a list of our contracted projects that are in development. Our current North American pipeline is 2.4 gigawatts of PPA, EPC for Ontario RESOP-contracted projects. First Solar has the leading position of the 11-gigawatt contracted solar projects in the United States. We expect to execute on 400-megawatt DC from 12 projects in 2011 up from three in 2010, and we have the flexibility to build additional megawatts in 2011. The growth in construction from about 165 megawatts DC in 2010, the 400 megawatts in 2011 also improved the economies of scale for both our development and balance of systems cost and the stable economics of these projects provides a buffer against declining bps in Europe. We've now sold almost all the projects we intend to construct in 2011 and are in discussions to sell the remainder. We also expect to sign new EPC agreements with partners that may contribute to 2011 growth. Overall, we're experiencing strong buyer demand for utilities scale systems projects due to our proven systems performance, low LCOE, fast lead time to generation and attractive project economics. With the addition of the new Silver State South PPA, we are developing almost 1.7 gigawatts of projects with PPAs, as well as other projects that did not yet have PPAs. On Page 12 is the latest analyst consensus forecast of the global PV market demand. On average, the 17 analysts included in this survey estimate that the 2010 market grew to 16 gigawatts, up 122% year-over-year primarily driven by Germany, Italy and North America. Analysts have a wide range of market estimates where the consensus to 2011 growth of 10% to 17.6 gigawatts. This is up 2.5 gigawatts from the December consensus due to an increase in expectations for Italy and North America. The market is expected to continue to diversify in 2011 with Germany declining from 7.4 gigawatts in 2010 to 6.2 gigawatts in 2011, Italy at 3 gigawatts, North America at 2.4 gigawatt and Japan, China and the rest of Europe at about 1 gigawatt each. However, there is market risk due to several governments discussing potential changes in feed-in tariff structures and caps. Turning to Slide 13. I want to update you on how we see the key markets evolving and how they relate to First Solar's growth strategy and investments. In Europe, as a result of the strong 2010 growth due to the major European governments are seeking to balance subsidy costs for the 2020 commitment to the EU on renewable energy targets. Germany, France and Italy are in the process of discussing additional changes to their feed-in tariff structures and potential market caps. This creates risk going forward and highlights the importance of global market development and project pipelines. In Germany, the government is expected to adopt the partial July and September pull-in of the January 2012 FiT aggression. Germany appears to be targeting market size of 3.5 to 4 gigawatts per year. The French FiT program moratorium continues with the government considering a 500 to 800-megawatt cap on the annual market size and a reduction of the FiT, as well as an introduction of a tender system for large projects. Italy is evaluating additional subsidy changes for 2012, beyond planned reductions in 2011. This may include FiT restrictions on some prime agricultural land based on regional decisions. As a result of these anticipated changes, we expect a strong first half in Germany and Italy, with potential for tighter economics in the second half of 2011 as the industry adjusts to lower FiT rates. We've taken a number of steps to mitigate these risks. First, pricing to our third-party Module business is at levels that we continue to believe are sufficient to drive sell through. Second, as we have in 2010, we plan to use our 2.4-gigawatt North American pipeline as a buffer against demand fluctuations in Europe. Most of our 400-megawatt North American systems builds are planned for the second half, and we have the flexibility to build additional megawatts if needed. We expect to continue to add new EPC and PPA agreements in North America to increase our pipeline. We are increasing our investments in market development to diversify our market exposure in North America, India, Australia and China. We are investing to drive for the lowest LCOE and maximize energy yields. In North America, the market could double to 2 gigawatts in 2011. The ITC cash grant was extended through 2011 which improves market liquidity. The industry is working to include the DOE loan guarantee extension and government budgetary legislation. The DOE program opens the capital markets and builds an investor base which we hope will support the abilities to place long-term unguaranteed project bonds into the U.S. institutional market. In California, the legislature is currently considering a bill which would increase California's renewables portfolio standard from 20% by 2010 to 33% by 2020. We believe that California IOUs are well on their way to fulfill their 33% RPS requirements, but a meaningful percentage of these contracted agreements may not be realized. So we look at this as an opportunity for First Solar. We are also working to encourage policy in other states like Florida and Texas to support the development of sustainable PV markets. Meanwhile, new southwestern U.S. PPA prices are already declining from the $0.14 to $0.16 per kilowatt hour in our contracted projects towards grid parity of $0.10 to $0.12 per kilowatt hour by 2014. In China, the government has stated its commitment to developing solar market of at least 20 gigawatts by 2020. Although the market has potential demand, the systems providers need viable public economics to realize projects and current economics do not support sustainable market development. Currently, concessionary bidding prices serve as price benchmarks and there is the possibility of an additional round of biddings in 2011. In India, the national solar mission objective is 22 gigawatt by 2022. In addition, several states, including Gujarat, continue to drive additional meaningful demand through their own programs. We are investing resources to help the Indian market realize its potential and are working with a number of customers to deploy more than 100 megawatts in projects in 2011. The market is expected to grow to about 600 megawatts in 2012, constrained by the high cost of capital which pressures the system prices. In Australia, the federal government's solar flagship program and state FiT promoting market growth with first utilities scale production realization expected in the first half of 2011. We are participating in a number of programs with local partners including two of the four shortlisted PV projects that are in the first phase of this solar flagships program. The winner is expected to be announced in Q2 of 2011. On Slide 14, you can see the progress we're making in diversifying our demand. A joint portion of our megawatt shift declined from approximately 77% in 2008 to 46% in 2010. North America became the second largest portion at about 18%. We estimate France, Italy and Spain are about 17%, 12% and 4%, respectively. We expect the German portion will continue to decline to 30% to 35% in 2011. India is driving our growth in Asia from about 1% in 2010 to 8% in 2011. I want to highlight again that in 2011, we are significantly increasing our investment in market development to sell the unique challenges of new markets and segments. We are increasing spending in places like India, China, Australia, and the Middle East. We are working with existing partners as they expand globally, as well adding new partners in local markets. First Solar's scale, global reach and system's expertise make us an attractive partner on a global basis which gives us the competitive advantage. As the result, First Solar expects to have a greater percentage of sales in non-German European, and North American countries than the industry in 2011 compared to market estimates. Overall, we have good demand visibility in 2011, in line with typical industry seasonal patterns and the growth of our system's business, we have confidence in our ability to sell the 2 gigawatts that we plan on producing. We illustrate on Slide 15 that our plants capacity expansion is now 2.9 gigawatts by the end of 2012, which is up 138 megawatts quarter-over-quarter based on the Q4 increase in annual line run rate to 62.6 megawatts per year. Our annual line run rate has improved 17% since Q4 of 2009. And we will continue to execute on our capacity expansion plans. Malaysia Plant 5 began production in late December and will ramp to full production by the end of the first quarter. Malaysia Plant 6 is on schedule to ramp in the second quarter. As announced in the guidance call, the Frankfurt order expansion ramp was moved up one quarter to Q3 of 2011. In Vietnam, we broke ground on our initial four-line factory in the Dong Nam industrial park. We expect initial production in the third quarter of 2012. At our new Vietnam and new U.S. sites, we are investing in land and infrastructure to provide the options to expand beyond the initial four lines that meet future capacity needs. Our Blanquefort, France plant construction remains on hold, pending clarity on the French subsidy framework which we expect in March. We remain hopeful that a compromise will be reached to support a transparent, sustainable photovoltaic market in France. To summarize, we delivered solid Q4 and 2010 results that positions us well for 2011 and 2012 growth. We expect solid growth in European markets in the first half of 2011, with tightening economics in the second half. First Solar will manage in this environment similar as we did in 2010. We're diversifying geographically and by segments. Our pricing is set to drive sell through with expected FiTs in competitive environment. We are continuing to execute on our mission and growth strategy. We're confident in our ability to sell what we make with good demand visibility through European and Indian contracts and in North American project flexibility. We are investing in market development and we're organized to execute. First Solar is on a roadmap to minimize LCOE and maximize energy yield. The North American utility scale pipeline grew to 2.4 gigawatts and we sold 400 megawatts of projects. Our 2012 year-end capacity is now 2.9 gigawatts, with expansions on plan in Malaysia, Germany, the United States and Vietnam. With that, I'd like to turn over the call to James who will discuss our fourth quarter and full year 2010 financial performance and our updated guidance for 2011. James?
James Zhu: Thank you, Rob. Good afternoon. Let me start with Page 18. First Solar delivered solid financial results in 2010. Net sales grew 24% year-over-year to approximately $2.6 billion. Operating margin was 29.2% and fully diluted earnings per share came in at $7.68, above the guidance range we provided in December of 2009 and also above our data [ph] guidance from our third quarter 2010 earnings call. We achieved a return on net assets of 19.5%, exceeding our weighted average cost of capital by 7%. Moving on to net sales. During the fourth quarter, demand met our expectations with continued strength in our Module business. Net sales for the fourth quarter were $609.8 million, down $188.1 million or 24% compared to the third quarter of 2010. The decrease was primarily driven by the lower systems revenue recognition. For example, Sarnia Phase 2 revenue recognition occurred in the third quarter. Additionally, ASP declines due to mix, [indiscernible] implementation, 2011 pricing in December. And as Rob mentioned earlier, we delivered the strong volumes to expedite the Module replacement programs. These impacts were partially offsetted by positive effects of increased sales volume, conversion efficiency improvements, and foreign exchange. Our EPC revenue mix declined from 28% of total net sales in the third quarter to 5% net sales in the fourth quarter. The blended exchange rate in the fourth quarter increased 1.5% sequentially to $1.33 per euro while the spot rate increased to 6% to $1.36 per euro. However, the stronger euro added a net sales by only about 1% but we were heavily hedged in line with our long-term strategy. We produced 395 megawatts during the fourth quarter, up 13% compared to the prior quarter. The increase was driven in part by a 5% improvement in the line throughput to 62.6 megawatts per year and by the improvement of our module conversion efficiency to 11.6%. We also had a six additional production days during the fourth quarter after moving to a calendar year. Our Module cost per watt in the fourth quarter were $0.75, down $0.02 from prior quarters. Our core manufacturing costs per watt also declined by $0.02 to $0.73. This improvement was driven by our conversion efficiency improvements, the increase of line throughput and the material cost savings which were partially offset by heavy equipment maintenance and upgrade, foreign exchange and the rent penalty. Going to the next slide. Fourth quarter gross margin was 48.7%, up 8.4% from the prior quarter. The increase was the result of the mix shift to more Module sales, as well as lower margin costs per watt including a conversion efficiency improvement. The increase was partially offset by foreign exchange in the lower Module ASPs also. During the fourth quarter, we reserved an additional $8.5 million for the module replacement program discussed during our second quarter 2010 earnings call. In Q4, we conclude a claims process and based on our field the execution to date. We update our total replacement cost estimate. Our Module gross margin was 49.1% during the fourth quarter, in line with the prior quarter, but the cost per watt improvement and the strong euro offsetted the decline in average selling prices. Turning to Slide 22. Operating expenses were up $20.8 million quarter-over-quarter due to an $8.4 million sequential increase in plant start up costs due to our capacity expansion, the year increase on performance expense [ph], and the investment expense on the reinvestment and the infrastructure investments of ERP implementation costs. Slide 23 shows operating income trends. Operating income for the fourth quarter was $165.7 million, compared to $211.6 million in the third quarter due to the decrease in total net sales and increased investments. Also the margins for the quarter were up 27.2% compared to 26.5% in the prior quarter due to the mix shifting to our Module segments that was partially offset by the increase in operating expenses just described. On the next slide. Net income was $155.9 million or $1.80 per share on a fully diluted basis. And the effective tax rate was 10% for the fourth quarter. For the full year, earnings per fully diluted share was $7.68 and the effective tax rate was 12.8%. Slide 25 illustrates that in the fourth quarter, we generated $105 million of free cash flow, driven by operating cash flow of $350 million. We spent $212 million for capital expenditure from the depreciation worth $41 million. For 2010, we generated $143 million of free cash flow even after investing $589 million of in capital to execute on our capacity expansion plans. Operating cash flow was $705 million. Our balance sheet remained strong, but cash and all other marketable securities increased about $117 million quarter-over-quarter to over $1.1 billion for year-end. Debt has decreased about to $13 million and our debt to equity ratio continues to remain low at 7%. This leads me to our updated guidance for 2011. We have made a several key assumptions underlining our guidance. We maintained our spot exchange rate assumption of $1.30 per euro. For the first quarter, we are fully hedged at the rate of $1.32 per euro. For the full year, $1.58 percent of our net sales and the 72% of our expected net income are hedged that demonstrate our $1.32 per euro as of today. The percent change in the dollar/euro spot rate would impact our revenue guidance for the year by about $6 million and our net income guidance by about $3 million. We adjusted pricing in December of 2010 to position our channel partners to sell through in 2011 in anticipation of feed-in-tariff declines in Germany and other European markets. Our guidance reflects the expected feed-in-tariff changes in 2011. We continue to plan to build 400-megawatt DC of system projects in North America. We retained the flexibility to increase this amount should demand in other markets fell short of current expectations. However, that flexibility will naturally decline as we progress through the year unless utilized. We began shipping Malaysia Plant 5 in the first quarter and we planned to rest plant six in the second quarter, followed by our second German plant in the third quarter. Our capital spending is primarily driven by the capacity expansion in Malaysia, Germany, Vietnam, the U.S. and France. Slide 28 shows that based on these assumptions,, we expect net sales to range from $3.7 billion to $3.8 billion. The new factor then penalty in cost of goods sold will range from $15 million to $20 million. And the factory start up expense will range from $60 million to $70 million, slightly below our guidance. Stock-based compensation is expected to be between $115 million and $125 million, with approximately 20% allocated to cost of goods sold that is in line with our prior guidance. GAAP operating income is expected in the range of $910 million and $980 million, which is up from prior guidance. We expect our 2011 effective tax rate to be between 11% and 13%. We estimate that the year end 2011 fully diluted share count to be in the range of 87 to 88 million shares. Earnings per fully diluted share should range from $9.25 to $9.75, up from prior guidance. Capital expenditure for the year is expected to be between $1 billion to $1.1 billion. Approximately 75% of our capital budget in 2011 is for capacity expansion and another 15% to 20% is for factory maintenance which includes productivity improvements and R&D expenditures. The remainder covers infrastructure spending for IT systems, facilities and other. Operating cash flow is projected in the range of $1 billion to $1.1 billion. Return on net assets will range from 17% to 18%, in line with our goal to deliver returns exceeding our weighted average cost of capital by at least 5%. Finally, Slide 29 gives you an update of the expected quarterly profile of revenue recognition and operating margins through 2011. Please note that if you'd read across horizontally from Q1 to Q4 of each chart, the sum of all quarters is 100%. Note that for first quarter, we're expecting to recognize less than 15% of our full-year revenue guidance and the less than 12% of our full-year operating income guidance. The profile you'll see here is driven by the following assumptions: First, factory capacity is renting throughout 2011; second, Agua Caliente revenue recognition start in the second quarter and accelerates into the fourth quarter; third, Canadian projects under the complete contract accounting showing revenue recognition primarily in the fourth quarter; finally, we will continue to use our systems pipeline as a buffer against the European demand fluctuations, which could affect our balance of systems revenues. With this, we conclude our prepared remarks and open the call for questions. Operator?
Operator: [Operator Instructions] And our first question will come from Smitti Srethapramote with Morgan Stanley.
Smittipon Srethapramote - Morgan Stanley: Just a quick question on your line upgrades. Now that you have recently converted all your lines to, upgrade all your lines to 11.6% conversion efficiencies, I was wondering what you plan to do next move it up to the 12% level?
Robert Gillette: Smitti, it's Rob. We're going to continue to execute on the projects and plans that we have in place of roughly 0.5 per year. So I think as we discussed, I think Q3, when we've made some modification and changes, it's something that because of the number of lines and the way we execute it, we'll make progress on and then it may level out in a given quarter and then continue to make progress. So we'll continue to invest in that and it's still is our plan to drive the 0.5 per year.
Operator: And we'll now go to our next question that will come from Satya Kumar with Crédit Suisse.
Satya Kumar - Crédit Suisse AG: I was wondering if you could give any additional color on the non-driven European volumes, just given the risk in Italy and the potential for a cap in France. I was wondering if you could give any granularity in the megawatt exposure you might have to these two other European market, but you could have on Slide 14?
Robert Gillette: Yes, it's Rob again. I would say that obviously there's been a considerable amount of change. I'll give you some framework for us. We talked about a gigawatt in each outside of Germany is the estimate. And it's estimate based on everything we know. We expect to ship about 10% to 15% of our Module production to France in 2011. And as it relates to Italy, I think that we're planning to do 15 to 20, develop our megawatt ships to Italy. So we spent a lot of time there and continue to work with and going see the markets and trying to see what we can do to make it sustainable and transparent overtime and it's been interesting.
Operator: We'll now go to our next question from Rob Stone with Cowen and Company.
Robert Stone - Cowen and Company, LLC: My question has to do with India. It looks like rapidly increasing market opportunity. But how will you address local content requirements?
Robert Gillette: It's one of the things that we're working on and considering in the future. And really it's, actually recently, Tk visited in India. He's here with us so he can have a few comments as well. But for us, it's more determining the market and what the opportunities are and then considering what the best way is to maximize value for First Solar and our customers. So we're open to different ways to do that with partnerships and through our own efforts. So, Tk if you want to add to that?
Tk Kallenbach: Sure, Rob. It's Tk. When the National Solar Mission first came out last year, it had some discussion around local content requirements. And our position, and we encourage the folks in India and the government officials to think about local content requirements further down the road. So our position then was that at some point, local content you want to encourage but you don't want to encourage it very early on in the marketplace. So initially, they exempted quite a bit of local content requirements in order to evaluate a number of technologies. And if you're familiar with the marketplace in India, there are a number of smaller utility scale kind of 5-megawatt projects as part of the National Solar Mission and there are three or four very active state programs, again, that are encouraging a number of, if I would call them, smaller utility scale projects. And so, so far, they've allowed the local content requirements to not be met so they can investigate technologies like ours which are not available for production in India today. Our belief is that potentially, it's three or four years down the road. After the market is established, they may re-engage in that discussion. But at that point, the market has been validated and the market will tend to pull in the technology that makes the most sense for installation in India. And I think we're fine with that particular policy position.
Operator: And we'll now take a question from Dan Ries with Collins, Stewart brokerage firm.
Daniel Ries - Collins Stewart LLC: I wondered if you could -- it seems like you've changed the wording a bit for the 400 megawatts plus or minus. Has there been -- it seems like your more firm in the 400 at this point rather than the range that you gave back in December. Can you just discuss the factors that led to that shift if I'm correct, if that is a minor shift?
Jens Meyerhoff: No, I think you're maybe interpreting a little into workflow here, right? So generally, we're keeping flexibility in that pipeline of thing as we reiterate here today. There's large projects that are pretty much sharp already that have either started or in the process of starting construction. We're building the BoS content up in a way that we have variability with respect to how fast and how many megawatts we can deploy on those projects. So that flexibility remains. I think one comment we did make in the script today is, that obviously, as we move throughout the year, that flexibility for the year can decline and which is much more of a mathematical function of how much time you have left to install how many megawatts. But for the time being right now, we have the flexibility. But at the same point in time, we generally see a strong global demand environment and time will tell whether we have to deploy that flexibility to its fullest although we can move some of those volumes into 2012.
Operator: We'll now hear from Mark Wienkes with Goldman Sachs.
Mark Wienkes - Goldman Sachs Group Inc.: Just following-up on that. Could you give us maybe in megawatt terms how much flexibility you have through the first part of '11?
Jens Meyerhoff: I think the flexibility is more focus on the second half of '11 because as we mentioned, we're focused on satisfying the strong demand in Europe in the first half. So it's really geared towards the second half what I would call as is ramping then [indiscernible] possible right in the mix as well, which is another large utility scale project here in southwestern United States. So I think in the past, we stated [ph] detects that flexibility can go up into the 700-megawatt range. And so I think we're preserving that optionality and again, we're well prepared towards any form of market fluctuations in the latter half of 2011, should those occur.
Operator: And Vishal Shah has our next question from Barclays.
Vishal Shah - Barclays Capital: I just wanted to clarify here, your guidance on a quarterly basis for operating income and net sales has changed from the December conference call. I was wondering what drove the reduction in the first quarter, especially for operating income?
Jens Meyerhoff: So we don't guide through the quarter. I jumped on this one here. If you look at the profile that we presented, I think for the first quarter, I think, or the guidance we're providing today is actually quite consistent with the profile. However, we've got a little more precise on the profile for the first quarter today because of the average consensus to some degree ignoring the shape of that profile and having a shown higher numbers.
Operator: We'll now take a question from Sanjay Shrestha with Lazard Capital.
Sanjay Shrestha - Lazard Capital Markets LLC: It seems like '11 is a pretty strong year for the industry and for you guys as well. My question is really more about two part question. One is, what sort of a pricing dynamics are you guys seeing in the U.S. market with the continuously depressed price of natural gas? And second part of the question is how do you guys sort of see the industry dynamics unfold into 2012 with you having the flexibility of folks not having that flexibility from a pipeline standpoint?
Robert Gillette: I'll go ahead and make some comments and then Jens can chime in on the U.S. market and where, as you know, [indiscernible]. Considering to develop our pipeline and putting on PPAs and other things that we've mentioned in the body of the presentation, that they're moving from the $0.14 to $0.16 range that we have today to in future type applications, the $0.10 to $0.12 which is our objective over time to be able to sell, and we believe that eventually [ph] peaking great parity. I think the issues related to the Europe and the feed-in-tariff will cause some rush to demand again like we saw in 2010. So that's why we believe that 2011 first half will be very strong and then, the issue is, probably, it will be your pressure in the market in the second half. And then the stabilization, what we do is, we've talked to all the officials and regulatory body and our customers and what we push for is the transparency for the future and we support the declining feed-in-tariff's, but we want to make sure that we have visibility as we plan our production and make our strategy and planning in the future. So that, I think, 2012 in terms of the market in Europe, we'll unfold better as the year progresses and we get past the July timeframe and we know what's going to happen with some of the feed-in-tariffs. So I think that's why we continue to, and I mentioned, we're going to invest in growth in new markets and new regions and set aside significant resource and energy to do that. And make sure that we have continuing diversity in our pipeline and demand. So that I'll let Jens make some comments too about the North American market.
Jens Meyerhoff: I think if you look at the U.S. market right now, what we see is as it relates to signing new PPAs on the power side, as you go into the outer years of the market, it certainly become a lot more competitive. And generally, bidding activities are moving closer and closer to the grid parity goals as they should and as we described in our strategy. I would say that in the near term, that there's a big focus on the customer side as it relates to profit realization and execution track record and ability to hit aggressive schedules. So the utilities want to realize the generation capacity in order to get closer to their RPS goals on a true generation side. So we are seeing that ability has value in the markets, but overall it's a competitive market. I think the industry, overall, sees obviously that the U.S. is the fastest-growing, highest volume market for the next couple of years. It is not the fast-turns business as we see in Europe, unless you have a significant pipeline that become increasingly difficult to participate in that growth.
Tk Kallenbach: And I would add, one of the values of the North American pipeline is, is its multiyear dynamic. While It doesn't develop super quickly, it's got a nice multiyear dynamic. But in addition to what both Rob and Jens said, one of the things maybe you can expect from us, we're going to continue to diversify our marketplace. So if you look at Page 14 and we extend that out into 2012 and '13, our intent is to continue to diversify globally and have more of these kind of markets so that if there are situations where one goes up and one goes down, there is a diversity protection in the overall market system.
Operator: We'll now hear from Steven Milunovich with Bank of America Merrill Lynch.
Steven Milunovich - BofA Merrill Lynch: On the guidance call you talked about this 500 megawatts of core, unaccounted for modules that you expect to sell in Europe and various places. How do you feel about placing those today? In particular, is your view on the pricing of those modules any different than it was a few months ago?
Tk Kallenbach: Well, I think from the guidance call, we were continuing to see the demand for the Module be steady. So as we've look at the overall economics of the feed-in-tariff discussions in France and Italy and in Germany have changed over the last eight weeks. It's fundamentally, those are the still markets that are quite viable to the kind of the economics that we're looking at in the first half. Should Germany make another decrease in midyear, we'd see that to be more of the tightening of the economics. But fundamentally, as we look at it, you saw the announcements on some of the India volume which is a new location for us, it obviously helped it. A part of what we're doing for the small amount of volume that we don't have currently completely contracted throughout the entire year, we're looking at the where we would place that in new markets to make those go, and it's a very small percentage at this point. It's way out of Q4.
Robert Gillette: Keep in mind, Steve, when we said we have high confidence in 2011 here.
Tk Kallenbach: And I think that part of it is unchanged.
Operator: We'll now hear from Stephen Chin with UBS.
Stephen Chin - UBS Investment Bank: Just a follow-up on the operating margin question. The new 2011 operating guidance looks like it's up a few basis points versus the prior guidance. Is there a trend that makes you more comfortable to raise that margin guidance lately? Is there maybe a step-function improvement in the cost per watt as we go through 2011 that may happen?
James Zhu: Yes, Steve, this is James. We have a high confidence in terms of the operating margin in that we continue to drive efficiencies [indiscernible] cost per watt. At the same time, we try to supply our market and our price is set to drive sell through, so we have a flexibility in the pipeline especially in our captive pipeline in the U.S. that Jens, Rob and Tk pointed out in terms of flexibility that we have, so yes.
Robert Gillette: Steve, just to add, I would say to couple of points. On the systems side, our pricing is based on the established economics in the PPAs and we know that. We transitioned into from planning to do EPC on some of the projects in China to having a partner do the EPC. So there's a mix effect to that. It's another piece of the equation. And then having better understanding, clarity another quarter into the process about the demand stream and the competitive situation, so we feel pretty good about being able to provide that guidance.
Tk Kallenbach: And we continue to have a resilience in there.
Operator: Tim Arcuri with Citi has the next question.
Timothy Arcuri - Citigroup Inc: I had a question on share. You before stated that your sort of longer-term goals, 30% global share. And there was another company just tonight that basically is indicating that between 21 and 25 gigawatts worth of modules were shipped into the market this year, which would put your share sort of 7% to 10%. So you're sort of running a way behind that goal and chasing a market that's growing much faster. So I'm wondering how you think about that share goal as it relates to what your share was in 2010 and whether what looks like it's going to be this year?
Robert Gillette: It's Rob. I would say that we get that as a goal, so an aspiration. I would tell you, too, that there's certain pieces of the market that are not accessible to all. So we define the market a little bit differently when we show you the total analyst forecast as an average. You see the numbers and one thing we all know is that it's hard to be accurate in terms of forecasting this market. So there are certain aspects of the marketplace that we believe are realistic markets for First Solar to serve for all kinds of reasons, and we think that we can continue to grow our share position and grow the business. So we're really focused on growing the entire market and then participating in that growth.
Operator: We'll now hear from Ramesh Misra with Brigantine Advisors.
Ramesh Misra - C.E. Unterberg, Towbin: My question is regards to your production costs across the various geographies. Is it safe to assume that all the new plants that are coming up will have generally similar production cost or will there be a difference?
Robert Gillette: It's Rob. What we do is, we take a look at all of the costs, both raw material, labor and the mix of the plants and facilities that we have. So when we plan the cost reduction roadmap, we consider all those different elements in terms of our plan. So we still have the objective to be between $0.52 and $0.60 by 2014, and we think we're making good progress to that end with the improvements in efficiency in Q4 and a $0.02 gain from Q3 to Q4. And as well as the 11% reduction year-over-year. So that's still our plan, and it includes the mix that we have.
Operator: Our next question will come from Stuart Bush with RBC Capital Markets.
Stuart Bush - RBC Capital Markets, LLC: If I compare your guidance today versus your guidance in December, it looks like some of the upside in the operating income is partly driven by $15 million to $20 million less in start up expense and a 1% lower average range for the tax rate. Can you discuss what you changed your assumptions there?
James Zhu: Sure. Stuart, this is James again. We're basically, we're really looking at, as we pointed out with visibility and really, the uplifting in terms of operating income is really where we're seeing the benefit of the volume increase also, the better pricing that we're seeing there in the European markets because that we're able to actually move some of the volumes in a better pricing and the customers. And secondly, we actually benefit from an FX as well. So as I pointed out earlier, we continue to drive efficiency from the cost per watt down and that will contribute to the increase in operating margins. So all those together, I think, that those budgets really the key elements to the why we actually have the increase in the operating income.
Jens Meyerhoff: Maybe to add, James, the change in the start up costs is a combination of the acceleration of a plant. So those costs are -- the couple of million dollars that are being reclassified in this guidance from start up into cost of goods sold to the earlier production starts. And the other part of the start up relates to the delays on the French plant.
James Zhu: That's right. Remember that as [indiscernible] most of the volumes hedged. So and we have locked-in a lot of good economic stuff and those kinds of things.
Operator: We'll now take our next question from Jed Dorsheimer from Canaccord.
Jonathan Dorsheimer - Canaccord Genuity: Can you just talk a little bit more about your approach to project development outside of North America and of course, the project in China?
Jens Meyerhoff: So outside of North America, I think we're much more focused on mid- to late-stage developed assets. So we've taken an approach especially in Europe right now where there's a pretty broad market where developers that are easily, financially strained or might not have the working capital for project execution that are seeking partners. So we're seeking quite a view of those opportunities. Out of those opportunities, the one that fit our risk appetite and project profile, those are the ones we're acquiring. Generally, you should think of that effort as a fairly fast-turning business. These are projects that generally should be realized within a nine-, 12-month timeframe. So if we look at Italian assets, for example, we are keenly focused that we acquire any of those and realize them, that they are realizable in 2011. Now as we go beyond that effort and you look at markets like China, I will not necessarily describe ourselves as a developer in China. I think in China, we're bringing our core competency of being a system provider having EPC capability, having design know-how and obviously, a very low cost panel technology to partner with local developers.
Tk Kallenbach: And I think -- This is Tk, I would add to the China piece of that. Because of the way that you do development in China, in order to apply and get a pre-feasibility study and feasibility study approved which is typically what we think of as project development, you have to be a state-owned enterprise. As we one of the companies there. And so for instance the project that we're doing in Ordos, one of the pieces of value that China Guangdong Nuclear brings is they are a state enterprise that has the ability to work with us and get the bulk of those feasibility studies approved. So that's our intent, long term in China, to work with a state-owned enterprise, just like we're doing with China Guangdong Nuclear.
Operator: We'll now take our final question with Colin Rusch with ThinkEquity.
Colin Rusch - ThinkEquity LLC: Can you just give us an update on the cost of capital efforts that you've guys have been engaged in diversity of sources that you're looking at for financing [indiscernible] projects and the trend lines in terms of the actual cost as you look into 2011, 2012?
Jens Meyerhoff: I think you've got to look at the cost of capital geographically. I would say, if you think about the project finance markets for PV solar in the United States for example, that is still in infancy. And with that, we continued to see further rationalization and more aggressive bids as it relates to the weighted average cost of capital on the projects. That comes from an increased interest and understanding of the extremely favorable payback profile of the solar investment in the U.S. at more and more capital competing. So fairly few shovel-ready projects. If you're thinking about the U.S. on the debt side, as the U.S. commercial debt market is opening out to project finance with longer terms and a step-by-step gradually in terms that are more comparable to Europe, so that's gradually getting there while not yet quite at the same volume. So as you know, we're executing a multi-pronged strategy between commercial debt financing. We're working on rating on some of the large projects for bond offerings and obviously, we're very engaged with the DOE in both of their programs. If you look in Europe, in Europe I would tell you that overall, the capital costs are gradually increasing. Here we're generally seeing a much more mature market. So the continued de-risking of the assets has less leverage as compared to the U.S. And at the same point in time, obviously, there's upward pressure on the yield curve in the outer years that we're financing along those assets. So we have seen increase in interest grades. If you just look at KfW [KfW Bankengruppe] lending rates, for example, in Germany, that has risen slightly over 100 basis points over the past couple of months.
Operator: Ladies and gentlemen, that's all the time we have for questions today. And that does conclude today's conference call. We thank you for your participation.